Operator: Please standby. We are about to begin. Ladies and gentlemen, good day, and welcome to the Lamb Weston First Quarter 2026 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Debbie Hancock, Vice President of Investor Relations. Please go ahead. 
Debbie Hancock: Good morning, and thank you for joining us for Lamb Weston's First Quarter Fiscal 2026 Earnings Call. I'm Debbie Hancock, Lamb Weston's Vice President of Investor Relations. Earlier today, we issued our press release and posted slides that we will use for our discussion today. You can find both on our website, lambweston.com. Please note that during our remarks, we will make forward-looking statements about the company's expected performance that are based on our current expectations. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our SEC filings for more details on our forward-looking statements. Some of today's remarks include non-GAAP financial measures. These non-GAAP financial measures should not be considered a replacement for and should be rather read together with our GAAP results. You can find the GAAP to non-GAAP reconciliations in our earnings release in the appendix to our presentation. Joining me today are Mike Smith, our President and CEO, and Bernadette Madarieta, our Chief Financial Officer. Let me now turn the call over to Mike.
Mike Smith: Thank you, Debbie. Good morning, and thank you for joining us today. The Lamb Weston team delivered first quarter results that exceeded our expectations and show commercial momentum in our business. While we are early in our Focus to Win execution, we are energized and excited by the emerging evidence of results coming from the foundation that we began to lay earlier this calendar year. Our goal remains to drive profitable growth and win with customers by focusing on the principles that made Lamb Weston the industry gold standard: category-leading innovation, exceptional products, and customer-centric actions. We are early in the journey, but our North Star is clear. I want to thank our hard-working team globally for their excellent work. Let me provide a few key messages I would like to leave with you today. First, we delivered another quarter of strong volume growth. This is a result of excellent work across our organization, from innovation quality, consistency, and our focus on the customer. We are seeing positive customer momentum as we invest behind strategic differentiators. Second, we are acting with urgency to implement our new strategic plan, Focus to Win, including working to deliver our cost savings program, which is in its early innings but tracking to our plan of achieving at least $250 million of annual run rate savings by fiscal year-end 2028. Third, we have new innovative products coming this fall, and we are winning new business and growing with existing customers as our teams go to market with a more customer-centric Lamb Weston organization. Fourth, in response to sustained volume growth in North America, we are restarting a curtailed line. Lastly, we are acting with urgency to position Lamb Weston for long-term success and shareholder value creation, including by prioritizing the specific markets and products where we believe we have a sustainable competitive advantage. Now let's discuss the quarter in more detail. Our first quarter results were led by volume growth in both segments, price mix within our expectations, the benefits of our cost savings initiatives, and significant progress in improving working capital, reducing our capital investments, and driving strong free cash flow generation. As we roll out our Focus to Win strategy and drive operational and strategic changes across our business, we are doing so from a leadership position within a category of opportunity. Whether at home or away from home, let's take a minute to remind ourselves why fries. Traditional french fries are one of the most profitable items on restaurant menus. Fries are the most ordered item at US restaurants. They appeal to a broad range of consumers and are America's favorite order across every generation. The fry attachment rate, or how often someone orders fries with their meal, remains approximately two percentage points higher than before the pandemic. What that means is that when people go out to eat, they are ordering fries more often than in 2019. And we see positive trends around the globe. For example, global demand is growing with an estimated 44% of global menus offering fries. And as multinational and local market QSRs expand, they continue to see developing markets with fries, which is trending positive. Finally, global fry volume growth has outpaced total food growth versus 2019. In July, we launched Focus to Win, our new strategic plan to unlock near and long-term value. While it is early in our efforts, we are making progress. I see it in the focus our teams have and the decisions we are making. We have clearly identified savings plans, and our teams are executing. All this is happening as we work to be our customer's number one partner, a world-class potato company, and an industry-leading innovator. Looking at each of the pillars of our strategy, a few early examples include within strengthening customer partnerships, we have realigned our sales teams around our priority markets. In North America, we are augmenting our successful direct sales force with a broker model to expand our reach into underpenetrated channels of the business. The Lamb Weston organization is embracing a customer-centric mentality. We have secured several new wins around the world, including expanding our share in business and key away-from-home categories such as C-stores and cash and carry. And outside the US, we've increased our business with QSR customers. In terms of executional excellence, the supply chain organization is elevating Lamb Weston's operations. We have undertaken programs across manufacturing, logistics, and procurement that are not just driving cost savings but meaningfully improving our run rates, our quality, and our customer satisfaction metrics. In response to sustained volume growth in North America, as previously mentioned, we are restarting a curtailed line in the latter part of the second quarter to ensure we maintain strong customer fill rates. Our global footprint and the untapped capacity in our manufacturing network allow us to take on new business and provide additional support for our customers. Additionally, we began shipping from our new manufacturing facility in Marda Plata, Argentina. Approximately 80% of production will be destined for export, primarily for Latin America, including Brazil. Finally, setting the pace for innovation. We take great pride in our position as an innovation leader, and we are working to directly improve the customer and consumer experience, drive breakthrough innovations, and innovate how we operate. As I mentioned in July, we've established global innovation hubs to orchestrate disruptive innovation platforms. One in North America and one in The Netherlands for our international markets. This fall, we are launching exciting new products into retail that are aligned with customer trends. This includes flavor-forward offerings from Alexia, such as garlic and Parmesan crinkle-cut fries and dill pickle seasoned fries, as well as expanding our licensed brands with Paw Patrol waffle fries and Shaped Tops. And internationally, we continue the rollout of our really crunchy artisanal fries, which are performing exceptionally well. Before Bernadette provides a more in-depth review of the quarter, let's discuss the upcoming potato crop. We're harvesting and processing crops in our growing regions in both North America and Europe. Currently, we believe the crops in the Columbia Basin, Idaho, and Alberta are above historical average, and in the Midwest are near average as growing conditions in all regions have remained generally favorable. In Europe, growing conditions in the industry's main growing regions of The Netherlands, Belgium, Northern France, and Germany have also been favorable, leading to an above-average yield forecast for the region. We continue to expect our potato costs in Europe to be flat to slightly lower than the previous year's fixed price contracts. As a reminder, in North America, we've agreed to a mid-single-digit percent decrease in the aggregate in contract prices for the 2025 potato crop. We expect to realize the benefit of these lower potato prices beginning late in our fiscal second quarter. We'll provide our final assessment of the potato crops in North America and Europe when we report our second quarter results. I will now turn the call over to Bernadette to review the quarter and our outlook.
Bernadette Madarieta: Thank you, Mike, and good morning, everyone. Our teams continue to perform at a high level as we began executing our new strategic plan and driving changes across the organization. In the quarter, we grew volumes, improved our manufacturing cost per pound, and delivered strong cash flow. Starting on Slide 11, first quarter net sales were essentially flat, increasing $5 million, including a $24 million favorable impact from foreign currency translation. On a constant currency basis, net sales declined 1% compared with the prior year. Volume increased 6%, driven by customer wins and retention, led primarily by gains in North America and Asia. In North America, the rate of new customer volumes scaled earlier than we planned. The total volume increase also included lapping an approximately $15 million charge taken in the '5 related to a voluntary product withdrawal. Turning to the industry, restaurant traffic at several customer channels was flat in the quarter, including overall QSR traffic. While some are growing, including QSR chicken, QSR hamburger, however, was down low single digits and declined another percent in August. Restaurant traffic outside the US has been mixed. Traffic in certain markets, including the UK, our largest international market, declined 4%. Our customers continue to lean into value and menu innovation, including limited-time offerings to drive traffic and meet consumer needs. Price mix at constant currency rates was in line with our expectations, declining 7% compared with the prior year. As a reminder, this includes the carryover impact of fiscal 2025 price and trade investments that went into effect in the second quarter of last year, as well as ongoing support of our customers. It also includes unfavorable channel product mix within our segments. Looking at our segments, North America net sales declined 2% compared with the prior year, primarily due to lower net selling prices. Price mix declined 7%, and volume increased 5%, supported by recent customer contract wins and growth across channels. In our International segment, net sales increased 4%, including a favorable $24 million impact from foreign currency translation. At constant currency rates, net sales were flat. Volume grew 6% in the quarter, and price mix at constant currency rates declined 6%. This was primarily related to pricing actions in key international markets to support our customers. Our international segment remains well-positioned for the long term, supported by new modern manufacturing facilities, a broad and innovative portfolio, and an expanding global footprint. In the first quarter, Asia, including China, led our volume growth, reflecting solid market performance. Growth was supported primarily by contributions from multinational chains. In Europe, we expect that a strong crop, soft restaurant market demand, and increased competitive actions will continue to pressure price mix for the balance of the year. And in Latin America, we began shipping from our new facility in Argentina in early second quarter. While we are actively onboarding customers, we expect it will take time before the facility reaches target utilization level. We've seen competitive activity increase in Latin America, most notably in Brazil. Moving on from sales, as expected, on Slide 12, you can see that adjusted gross profit declined. This was primarily due to unfavorable price mix. This was partially offset by higher sales volume and a decrease in manufacturing cost per pound due primarily to benefits from our cost savings initiatives and the benefit of lapping an approximately $39 million charge in the prior year related to a voluntary product withdrawal. We're pleased with the progress we're making against our cost savings initiatives, and we remain on track to deliver fiscal 2026 savings targets. Our broader goal with our manufacturing initiatives, however, is to embed sustainable process improvements that will continue to enhance our manufacturing performance beyond the immediate efficiencies we are seeing. Partially offsetting these benefits was about $15 million of increased fixed factory burden absorption and about $4 million of incremental costs related to the start-up of the new production facility in Argentina. While we anticipated a decline in gross profit this quarter, the decline was less than expected, due primarily to stronger than anticipated sales volumes and incremental benefits realized from our cost savings initiatives. Adjusted SG&A declined $24 million versus the prior year quarter. The decline reflects benefits from cost savings initiatives. It also includes $7 million of miscellaneous income, primarily related to an insurance recovery and property tax refunds that will not repeat in future quarters. Equity method investments were a loss of $600,000 in the quarter, down from earnings of $11 million in the prior year quarter. This reflects the current lower rate of sales volume from our equity affiliate at lower prices but also an unfavorable mix of sales. As a result, adjusted EBITDA was essentially flat with last year at $302 million. The favorable impact on net sales from currency translation was almost entirely offset by higher local currency expenses, particularly cost of sales in our global markets. Turning to segment EBITDA performance on Slide 13, adjusted EBITDA in our North America segment declined 6%, or $18 million versus the prior year quarter to $260 million, primarily related to price and trade investments in support of our customers, which was only partially offset by higher sales volumes, lower manufacturing cost per pound, and lower adjusted SG&A. Lower manufacturing cost per pound and adjusted SG&A both benefited from our cost savings initiatives. We also lapped an approximately $21 million charge for the voluntary product withdrawal in the prior year. In our International segment, adjusted EBITDA increased $6 million to $57 million. This year-over-year improvement primarily reflects the absence of last year's $18 million charge related to the voluntary product withdrawal, lower potato prices, cost savings from our cost savings initiatives, and a $4 million favorable impact from foreign currency translation. These benefits were mostly offset by supporting our customers with price investments, increased competitive actions in certain markets, and approximately $4 million of start-up costs associated with our new manufacturing facility in Argentina. Moving to liquidity and cash flows on Slide 14, our liquidity and cash position remain healthy. We ended the quarter with approximately $1.4 billion of liquidity, comprised of approximately $1.3 billion available under our revolving credit facility and $99 million of cash and cash equivalents. Our net debt was $3.9 billion, and our adjusted EBITDA to net debt leverage ratio was 3.1 times on a trailing twelve-month basis. In 2026, we generated $352 million of cash from operations, up $22 million versus the prior year quarter. Lower inventories were the primary driver of the increase. Free cash flow was strong at $273 million. As a reminder, our Focus to Win plan includes approximately $60 million of incremental cash flow from working capital, mainly from reducing inventory in both fiscal 2026 and '27, or $120 million in total. We believe we're on track to deliver the fiscal 2026 target. Capital expenditures for the quarter declined $256 million to $79 million as we completed our production facility expansion project. For fiscal 2026, our capital spending is expected to be approximately $500 million, with approximately $400 million in maintenance and modernization and $100 million for environmental projects, which are mostly for wastewater treatment. Turning to Slide 15, we remain committed to returning cash to shareholders. In the first quarter, we returned $62 million to shareholders. This included $52 million in cash dividends, and we repurchased $10 million of stock, leaving us with $348 million authorized under the plan. This brings the total cash we've returned to shareholders since the spin in 2016 to over $2 billion. Our capital allocation priorities continue to be anchored in investing in the business, its capabilities, and areas where we are working to competitively differentiate Lamb Weston to execute our business strategy while maintaining a strong balance sheet and opportunistically returning capital to shareholders with dividends and share repurchases. Let's turn to our outlook on Slide 16. We are reaffirming our outlook for fiscal 2026. As a reminder, this outlook includes the contribution of a fifty-third week, with an additional week falling in the fourth quarter. We continue to expect revenue at constant currency rates in the range of $6.35 billion to $6.55 billion, which is a 2% decline to a 2% increase. We expect year-over-year volume growth behind customer momentum in both segments. In our North America segment, we expect volume to grow in both the first and second half of the year. Note that while volumes in the first quarter came in above expectations, this reflects the acceleration of new customer activity that we planned for in later periods. In our international segment, we expect volume in the back half of the year to be essentially flat as we lap the new customer acquisitions from the prior year and we continue operating in a competitive environment. We also continue to anticipate price mix will be unfavorable at constant currency. As of the end of the quarter, we have secured approximately 75% of our global open contract volume at pricing levels generally consistent with expectations. As anticipated, unfavorable price mix will be more pronounced in the first half, reflecting the carryover pricing actions from fiscal 2025. The effect is expected to moderate in the second half of the year, supported by new contracts signed this year. Our adjusted EBITDA guidance range remains at $1 billion to $1.2 billion. As a reminder, adjusted EBITDA now excludes noncash share-based compensation expense. It is available in the reconciliation of non-GAAP financial measures that accompanies the earnings release we filed this morning. Despite the outperformance in the first quarter, with only one quarter behind us, we believe it's prudent to maintain our guidance range. While we previously excluded any impact from tariffs, the range now incorporates tariffs in the balance of the year, based on our latest view of enacted tariffs by the US and other governments. Additionally, given the outperformance of the first quarter's gross profit from higher than planned volume, we expect gross profit margins in the second quarter to be relatively flat with the first quarter. Due primarily to as expected first quarter input cost inflation being flat to slightly down compared with a year ago due to the steep increase in open market potato prices in Europe in the prior year, going forward, beginning in the second quarter, we expect low single-digit inflation, including the benefit of this year's lower raw potato prices. We also expect higher factory burdens from longer than expected planned maintenance downtime at one of our plants and additional start-up expenses and factory burden related to the start-up of Argentina plant to adversely affect our margin performance in our International segment in the second quarter. Turning to adjusted SG&A, our first quarter SG&A as a percentage of revenue was lower than our expectation for the full year. As I previously mentioned, the quarter included $7 million of miscellaneous income that will not repeat in future quarters. In addition, at year-end, we shared our plan to invest approximately $10 million of SG&A in innovation, advertising, and promotion expenses to support our long-term strategic plan. These investments are slated for the remainder of the year. While not in our guidance, the net sales and adjusted EBITDA we are updating our tax rate guidance from approximately 26% to a range of 26% to 27%. We now expect the tax rate in the first half to be in the low thirties, and the second half expectation remains in the low 20s. We do not expect that the recently enacted US federal tax legislation will have a material impact on our fiscal 2026 tax rate. And finally, our outlook reflects the progress we are making with our customers, the cost savings we are on track to deliver, and the early but positive results of the work by our teams to execute Focus to Win within a competitive market. I'll now turn the call back over to Mike.
Mike Smith: Thank you, Bernadette. In closing, we are acting with urgency to execute our Focus to Win strategy, including delivering our cost savings program. We have continued to drive strong volume growth and are pleased with the momentum we are seeing with our customers. Our team is focused on improving capital efficiency and increasing cash flows as our growth investments are complete and reducing working capital. We have trend-forward products coming to the market, and the capacity and innovation to partner with our customers. And we are managing our business strategically, deploying resources, and focusing our efforts in the areas of the market where we have the most differentiation, which we are confident will best position us for sustained success. Finally, we've reaffirmed our outlook for fiscal 2026. We'll now be happy to answer your questions.
Operator: Thank you. If you would like to ask a question, signal by pressing star 1 on your telephone keypad. Please make sure your mute function is turned off to allow your signal to reach our equipment. Again, press star 1 to ask a question. We'll go first to Andrew Lazar with Barclays.
Andrew Lazar: Great. Thanks so much. Good morning, Mike and Bernadette.
Mike Smith: Morning, Andrew.
Andrew Lazar: Maybe to start, you noted that Lamb Weston has restarted a previously curtailed production line in the US. And I guess more broadly, I'm just curious how this squares with sort of the current supply-demand imbalance for the industry overall that you've talked about the last couple of quarters. And have you heard of any further industry capacity delays or outright cancellations beyond what you shared in the international sphere last quarter?
Mike Smith: Yeah. I appreciate it, Andrew. You know, we need to restart this line really to keep up the demand signals that we're seeing on the business, the volume, and the customers that we're bringing on board. Really to maintain the customer fill rates. So, you know, all good signals. You've heard me say, historically, this industry has been pretty rational, and our market intelligence would suggest that not all the new announcements are gonna move forward at their original timing. You heard me talk about in July that, you know, we believe that some of those announced capacities aren't gonna move forward. It's either been delayed, postponed, or even canceled. The pace of new announcements has definitely slowed. I can't think of a new announcement that's been made since we reported earnings back in July. So I think, you know, we are seeing signs that this industry is being rational when it comes to capacity.
Andrew Lazar: That's really helpful. Thanks. And then I know, Bernadette, last quarter, I think you talked about a low to mid-single-digit year-over-year decline in price mix for the first fiscal half of the year. I'm curious if that still holds. And if so, I guess it would mean a not inconsequential sequential improvement in price mix in fiscal 2Q, if I have that right.
Bernadette Madarieta: Yes. No, thanks, Andrew. Foreign currency is having a little bit larger impact on our results. And in the first half, on a constant currency basis, we're expecting a mid-high single-digit decrease in price and then moderating to low to mid in the back half of the year.
Andrew Lazar: Thanks so much.
Mike Smith: Thanks, Andrew.
Operator: Thanks, Andrew. We'll go next to Tom Palmer with JPMorgan.
Tom Palmer: Good morning, and thanks for the question. First, I just wanted to kind of clarify some of the gross margin commentary about more flat quarter over quarter. The items you noted seem to be more related to the international segment, like the rising potato costs and the plant start-up costs? Maybe just in North America, an update there. Are we seeing more of kind of the normal seasonal increase to think about? As we shift from 1Q to 2Q? Or are there kind of items there to think about as well?
Bernadette Madarieta: Thanks, Tom. As it relates to North America, it is a more seasonal increase. One thing, though, that we do need to consider as it relates to North America is the input cost of inflation. We are gonna see a little bit more in February, but we'll also start seeing some of the benefit related to the lower potato prices come in. But you're absolutely right that much of the change is related to the international segment.
Tom Palmer: Okay. Thank you. And then I just wanted to clarify on the tariff commentary that it's now included in guidance but was not previously. What is your tariff exposure? And I think previously, you'd kind of discussed it as not being meaningful. Is there any update there?
Bernadette Madarieta: Yeah. So most of our tariff exposure relates to any import of palm oil or other ingredients. And right now, on an annualized basis, we would expect it to be about $25 million. We primarily bring that in from Indonesia and Malaysia. There is going to be a vote in March, is my understanding, that it could be enacted that the Indonesia tariff rate would go away. But that's yet to be known. So we've gone ahead and we've included the full amount for that palm and other ingredients in our guidance for the remainder of the year.
Tom Palmer: Great. Thank you.
Operator: And once again, ladies and gentlemen, if you'd like to ask a question, signal by pressing star 1. Our next question comes from Peter Galbo with Bank of America.
Peter Galbo: Hey, guys. Good morning. Thanks for the question.
Mike Smith: Good morning, Peter.
Peter Galbo: Bernadette, understanding kind of some of the nuance on the second quarter gross margin. But I guess if I just look at the first quarter performance, it wouldn't be all that different from history. I think it was a roughly flat gross margin Q on Q versus 4Q, which is kind of what the old Lamb Weston would have been even pre-COVID. So I think that the seasonality maybe follows. So I guess the question is, 2Q aside, should we be thinking about the historical seasonality on the gross margin line returning in the second half? At least as it relates to 3Q and 4Q. That would just be helpful as we kind of model out the rest of the year.
Bernadette Madarieta: Yeah. That's exactly right, Peter. Based on the strength that we saw in Q1, we do expect gross margin to be flat about flat with Q2. And then similar to historical periods, we expect a seasonal step up in Q3 and then a seasonal decline in Q4.
Peter Galbo: Okay. Great. And, Mike, I just wanted to touch on something you brought up in the slides. Noting on, I think, expanding the usage of brokers in North America. You know, historically, the strength of Lamb Weston was truly the direct sales force. I think it was a competitive advantage maybe you had that some of your competitors didn't. So I just want to understand the change in philosophy or the change in thinking and expanding out to using a broker network. How that's being, I guess, received internally by the direct Salesforce. I mean, again, it's a nuance, but it seems like a meaningful change to how you've operated versus history. Thanks very much.
Mike Smith: Yeah. I appreciate the question, Peter. I think it's really important, and I want to make sure I'm clear on this. We are maintaining that direct sales force. So that, to your point, Peter, that team has been very helpful to this business over the course of the last several years as we moved to that model. We've seen success with it. This is now gonna give them the opportunity to continue to focus on the areas where they've been successful. We are augmenting that direct Salesforce with a broker in some of our underpenetrated channels, some of the areas that we haven't spent time focusing on in the past. The sales team, the leadership team on that side is super supportive and excited about it because it actually allows them to really focus on the areas that they have been focusing on and gives us a chance to look at some potential upside opportunity that we haven't really spent a lot of time on over the last several years.
Peter Galbo: Awesome. Thanks so much, guys.
Operator: Thanks, Peter. We'll go next to Max Gumport with BNP Paribas.
Max Gumport: Hey. Thanks for the question. I was hoping you could unpack the contribution of customer wins to driving growth in North America. So first, just if you'd be able to quantify that roughly in point terms in terms of what that drove. And then with these gains really first starting to get called out in '25, is there any reason why that benefit doesn't stick in 2Q and 3Q? And then how would you think about that progressing from there? Thanks very much.
Mike Smith: Yeah. You know, the team's working hard to pick up new customers, and as I said before, I think we're driving a whole another level of customer centricity here in our organization. You know, as Bernadette mentioned earlier, we've had some customers that we have converted earlier than expected, meaning that some of those customers started placing orders and shipping with us in Q1 that we didn't expect to necessarily happen until Q2. So you know, that's one reason you're seeing the larger step up in Q1 on volume versus what we expected.
Bernadette Madarieta: Yeah. And that relates primarily to the North America segment. That's exactly right, Mike. And then as it relates to the international segment, keep in mind that we were lapping the prior year voluntary product withdrawal that we won't see going forward.
Max Gumport: Okay. And then just coming back to the 1Q versus 2Q gross margin comments that rise to the NASH, but one other way I wanna just get my head around it would be clearly coming into the year, you expected a return to the normal which would have been a pretty meaningful, you know, few 100 basis points, I believe, step up from 1Q to 2Q. I think it's fair to say 1Q gross margin came in a couple 100 basis points above what you might have expected. And I realize you now expect inflation to accelerate from 1Q to February. Has your view on the absolute gross margin changed? Is that because of the timing of inflation, or is it really just a matter of paying meaningfully better than expected 1Q first margin? Thanks very much.
Bernadette Madarieta: Yeah. So for the question. For the year, we're expecting to be fairly close to what we had originally expected. We didn't guide on gross margin per se, but you're exactly right that the cadence of the gross margin and the increase and decreases, that the primary change here is really that Q1 came in better than expected, and we're expecting more of a flat quarter over quarter gross margin between 1Q and 2Q.
Max Gumport: Okay. Thanks very much. I'll leave it there.
Operator: And our next question comes from Matt Smith with Stifel.
Matt Smith: Hi, good morning. Thanks for taking my question. Mike, could you talk about the impact of restarting the curtailed line in the second quarter? Should we think of there being higher fixed cost absorption as that line comes on? Or is that a cleaner startup process relative to when you open a new plant? And then how do you think about that line going forward? Do you expect production to be maintained on that line, or have you learned that you can turn these on and turn them on based on different times of the year and when it's most efficient to use that capacity?
Mike Smith: Yes. Great question, Matt. Let me just ground everyone and remind everyone. We curtailed more than just one line when we did our curtailment. So this is one of those lines that we're bringing back on. During the course of the time that line was down, we would, you know, kind of bump the kind of what we call it bump start the engines and the pumps and kind of keep things lubed up. And so it's easier to start these lines than starting a new production facility from scratch. Not a lot of cost to bringing up this new line. Fully anticipate that we're gonna continue to run this line. That's what our demand signals are telling us. And again, we have other curtailed lines that we have positioned should we see continued growth and momentum in the business. That we'll be able to action against into the future.
Bernadette Madarieta: Yeah. And the only thing I'd add to that is so for the North America segment, we'll start to moderate at the end of the second quarter when we start up that line from a fixed factory burden perspective. But we'll see a larger impact internationally with the start-up of Argentina and then the higher factory burden from the longer than expected planned maintenance downtime in Q1.
Matt Smith: Thank you, Bernadette. And as a follow-up, could you talk about the phasing of cost savings in fiscal 2026? I think cost savings came in above your expectation in the first quarter, but you still expect to be on track for the $100 million run rate in fiscal '26. Or exiting the year. Are you raising your expected cost savings for the year? Is it just more flowed through in the first quarter than you anticipated? Or maybe it was a larger contribution from the carry-in benefits from last year's restructuring savings? Just a little clarification out there. Thank you.
Bernadette Madarieta: Sure. I'd be happy to provide some color on that. So you're right. We did drive cost savings a bit faster, which has about two-thirds of the benefit in the back half of the year when we initially announced the plan. There's still many priorities that we need to deliver, and we'll continue to provide updates as the year progresses. But for now, we're on track to deliver the $100 million target that we set for fiscal 2026. And again, about two-thirds of that is expected to affect gross profit, and about a third is expected to affect SG&A.
Matt Smith: Thank you. I'll pass it on.
Operator: And we'll go next to Scott Marks with Jefferies.
Scott Marks: Hey. Good morning, Mike. Bernadette. Thanks so much for taking our questions. First thing I wanna ask about is, you gave some commentary earlier about some of the business wins you've had. You know, expanding some business with QSR customers, expanding in C-stores, and other away-from-home categories. Just wondering if you can speak a bit to what's been the driver of these wins? Has it been more of the price support that you're willing to invest behind it or maybe some other factor helping you kind of gain this business?
Mike Smith: Yeah. Appreciate the question. You know, a lot of it has to do with how we're engaging in our customers in a change from how we were in the past. You know, we're spending a lot of time making sure that we're doing the right joint business planning, and that's not just lining up our salespeople to the customer. That's a complete cross-functional approach where our supply chain organization, our marketing organization, and others are spending time with these customers and really understanding what they are looking for in a valued partner, and we're now delivering that. We're seeing customers have a renewed focus on service, quality, and consistency rather than just price when it comes to North America. And I think you're seeing that. When you hear, you know, out or Bernadette mention that we're through 75% of our contracting for this fiscal year with customers. That's at a very high retention rate, which we're excited about. And then, obviously, bringing on some of those new customers is providing some tailwinds for the business.
Scott Marks: Understood. And then maybe just on the traffic environment, you made some comments about QSR traffic. I think it was flat overall with some puts and takes across the different subsegments within. Just wondering if you can kind of share just overall backdrop what you're seeing in the US internationally, and what you're hearing from customers as we move through the rest of this, I guess, calendar and fiscal year.
Mike Smith: Yeah. You know, QSR traffic was flat in the period. You know, as Bernadette mentioned, burger QSR traffic was down. That was after several months of sequential improvements, albeit still down. Chicken QSR was up, which is a great mix opportunity for us. You know, we're intrigued by some of the offerings that we're seeing from some of our customers in the marketplace in terms of value meals. Excited to see how those are gonna perform into the future. You know, we have great customers. They have really loyal consumers. And, you know, they're looking to drive traffic into their restaurants and in their stores.
Bernadette Madarieta: Yeah. And, Mike, if I could just add on the international side, you know, QSR traffic being a bit mixed in the UK. I think I mentioned our largest market. It was down 4%. There were some other markets up, though, that were up slightly. France, Germany, Spain, but then there were others that were down. So a little bit mixed there on the international side.
Operator: And we'll go next to Robert Moskow with TD Cowen.
Jacob Henry: Hi. This is Jacob Henry on for Rob. Just one question for me. I'm wondering if you can provide any additional details on the pricing of the contracts you signed this quarter? Just curious how those came in versus expectations. I know you guys are winning a good amount of new business. Curious if you are finding you have to discount maybe more than you expected. Thanks.
Mike Smith: Yeah. I appreciate the question. You know, as I said earlier, I mean, we're seeing in North America that customers are having that renewed focus around service quality, consistency, and the innovation that we're providing and all that customer centricity that I talked about earlier. It's not just price. Price in North America has been in line with our expectations. That being said, you know, we have supported customers in this challenging environment. You know, we've finished, like we said, 75% of those contracts have gone through the normal course. Another 25% is kind of the normal kind of process that we go through, and we'll start to see those wrap up through the end of the calendar year. You know, I think we've said in the past, last year, about two-thirds of our agreements came up for renewal. We had about a third of those that came up for renewal this year. I'd say, you know, when you think about the international markets, we continue to see a little bit more competitive dynamic. Some of that's related to new capital. Some of that's related to raw pricing in some of the markets. Some of that's related to just normal competitive dynamics. You know? And in Europe, you know, we talked a little bit about the crop and where our raws headed with those contracts. So again, all as expected. And we continue to, again, meet with our customers and show them a differentiated Lamb Weston when it comes to our customers.
Bernadette Madarieta: Yeah. And we focused a lot on price, and I think the only other thing I'd add in as it relates to mix is that we are seeing a little bit of a change in mix in some of our channels, particularly in our retail channel with, you know, more focus towards the private label volume versus branded volume.
Operator: Our next question comes from Steve Powers with Deutsche Bank.
Steve Powers: Hey, great. Good morning. Mike, following up on your comments kind of throughout the call on just the importance of customer service and the efforts that you've all been able to make in terms of the supply chain enabling better customer service delivery on your part. I guess, when you think about the overall scorecard, and I'm focused mostly on North America in this question, but, you know, product quality, order fill rates, just all the different dynamics of customer service. Is that scorecard kind of at this point, universally green in your estimation, or are there areas where you still see room for further improvement that are priorities for the organization?
Mike Smith: Yeah. I won't go into detail, Steve, in terms of what the scorecard and what we're tracking, but we do track our customer engagement and some of those key metrics on a regular basis, and we still have opportunities. And I think, you know, that's where my focus has been over the last several months is getting out in front of these customers and better understanding where we have opportunities and how we're gonna address those moving forward. In some ways, we've addressed that through some of the structural changes and changes. In some ways, we've addressed that through innovation, some of the items that we're coming out with. But, again, we're having those conversations. And listen. Never satisfied. We always wanna make sure that we're delivering a higher level of service for our customers, and we're gonna continue to do that.
Steve Powers: Okay. Thank you for that. And then, Bernadette, I don't so apologies if I missed this, but just on the plants, the new facility in Argentina, how long do you expect that to take before it is up to target utilization levels? I'm not sure I caught that, and I don't know how the competitive activity you called out in Brazil impacts that. Just your outlook for the ramp-up in that facility. Thank you.
Mike Smith: Yeah. And maybe before Bernadette jumps into that one, let me just update the group. You know, we actually have that plant now operational. And we're actively qualifying products for our customers. And transitioning, kind of ramping things up. That does take some time, but it is operational, and much of that capacity will be exported to the Brazilian market in that area.
Steve Powers: Okay. Is there a timeline to kind of hit target utilization at this point?
Mike Smith: Yeah. It takes time. I mean, you know, if you think about our other lines that we've started up, these aren't we don't fill up the lines on day one. And like I said, it takes some time to condition the lines as we call, shake them down a bit, and bring those new customers on and over. It will take us some time to bring that line up to speed.
Steve Powers: Okay. Enough. Thanks, Mike.
Operator: And we'll move next to Marc Torrente with Wells Fargo Securities.
Marc Torrente: Hey, good morning, and thank you for the question. Just first on SG&A, it came in a bit lower than expectation. Part of that was the nonrecurring $7 million and then maybe some timing shift in strategic investments. So how should we think about the underlying run rate of SG&A going forward? And any phasing of net cost savings ahead? Thanks.
Bernadette Madarieta: Yeah. Thanks, Marc. You know, in terms of SG&A, I think about one-third is what we've shared before of the savings are expected to benefit SG&A in fiscal '26, and that's off a $100 million base. And then you're exactly right. The benefit of cost savings in the first quarter did include the $7 million of one-time benefit that we won't see going forward. It will be affected by our cost savings benefits, but then keep in mind, you know, we've got the incremental costs associated with normalizing our stock compensation and then the $10 million in strategic investments that are timed for the latter half of this fiscal year.
Marc Torrente: Okay. Got it. And then when new customer wins materialize a bit quicker than anticipated, which pulled forward some of the expected volume growth in the year. Maybe could you talk to visibility and other new customer wins that have yet to start? And ability to sustain volume momentum ahead even if, I guess, traffic across the industry remains muted?
Mike Smith: Thanks. Yeah. You know, we're not gonna speak to any future customer wins that are coming up. I think the fact that we restarted the curtailed line in American Falls to make sure that we have the right customer fill rates and support our customers the right way is a great kind of breadcrumb to how we're feeling about the business.
Bernadette Madarieta: Yeah. And I think it's important to note that while volumes in the first quarter did come in above expectations in North America, that does partly reflect a timing shift in the ramp-up of those new customers that was planned for later periods. So that was planned in our original guidance. It just came a little bit faster than expected.
Operator: And we'll move next to William Royer with Bank of America.
William Royer: Hi. Good morning. I just have two. The first, on the new customer wins, is some of this creating customer-specific products that may not have margins that are as high as your existing customers? I guess, how is the profitability of the new additions?
Mike Smith: Yeah. I'm not gonna speak to the profitability on specific customers. Just know that we are picking up new customers. We're doing it the right way and with pricing that makes sense for the P&L moving forward.
William Royer: Got it. And then just secondarily on the CapEx going forward, $500 million this year. When we look to out years, I think you mentioned $400 million this year of maintenance and $100 million of environmental. Should that be the range that we should be thinking about over the next two or three years subsequently?
Bernadette Madarieta: Yeah. That's in the general ballpark. You know, I think we previously shared that we've got a five-year plan with the environmental expenditures. Currently planning for about $100 million per year over the next five years. But, again, we're continuing to look for ways that we might have opportunities to extend deadlines or, you know, work on other areas to reduce the cost of that compliance. Got it. But in total, you're correct.
William Royer: Perfect. Thank you.
Operator: Thank you. And ladies and gentlemen, that concludes our Q&A session today. I'll turn the conference back to Debbie Hancock for any additional or closing remarks.
Debbie Hancock: Thank you, Lisa, and I want to thank everyone for joining us today. The replay of the call will be available on our website later this afternoon. Have a great day.
Operator: That concludes our call today. Thank you for your participation. You may now disconnect. Have a great day.